Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Sow Good Inc.'s financial results for the third quarter ended September 30, 2025. Joining us today are Sow Good Inc.'s co-founder and CEO, Claudia Goldfarb, and Chief Financial Officer, Donna Guy. Following their remarks, we will open the call for analyst questions. Before we go further, I would like to turn the call over to Mr. Cody Slach as he presents the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Slach: Good morning, everyone, and thank you for joining us in today's conference call to discuss Sow Good Inc.'s financial results for the third quarter ended September 30, 2025. Certain statements made during this call are forward-looking statements, including those concerning our financial outlook, our competitive landscape, market opportunities, and the impact of the global economic environment on our business. These statements are based on currently available information and assumptions, and we undertake no duty to update this information except as required by law. These statements are also subject to a number of risks and uncertainties, including those highlighted in today's earnings release and our filings with the SEC. Additional information concerning these statements and the risks and uncertainties associated with them is highlighted in today's earnings release and in our filings with the SEC. Copies are available on the SEC's website or on our investor relations website. Furthermore, we will discuss adjusted EBITDA, a non-GAAP financial measure, on today's call. A reconciliation of adjusted EBITDA to net income or loss, the nearest comparable non-GAAP financial measure discussed on today's call, is available in our earnings press release at our Investor Relations website. With that, I will turn the call over to Claudia.
Claudia Goldfarb: Good morning, everyone, and thank you for joining us today. Q3 2025 was a quarter of steady progress and operational strengthening as we continue positioning Sow Good Inc. for long-term sustainable growth. Over the past several months, we have made strategic decisions to align our cost structure with current demand, streamline operations, and enhance efficiency across every part of the business. These initiatives have simplified our footprint, reduced fixed costs, and reinforced our foundation for scalability. While our results reflect a transitional period, they also highlight the meaningful strides we have made toward becoming a leaner, stronger, and more agile company. One that is well prepared to capture the opportunities ahead. We completed lease amendments on our Mockingbird and Rock Quarry facilities, resulting in more than $5 million in annualized rent savings while maintaining full production capacity through automation and improved workflow design. We have completely vacated our Mockingbird facility, reducing our footprint by over 50,000 square feet and delivering immediate cost savings. In addition, we will fully vacate our Rock Quarry facility by January, which will further reduce our footprint by more than 320,000 square feet. Together, these consolidations represent a major step forward in optimizing our operations, driving efficiency, eliminating redundant costs, and positioning us for long-term scalability. We also implemented payroll efficiencies that lowered monthly costs by approximately $40,000 while still preserving our consistent quality and innovation. Together, these actions have strengthened our path toward profitability and positioned Sow Good Inc. to scale efficiently as new growth initiatives come online. Importantly, the operational groundwork we have laid in 2025 provides a direct bridge to a return to profitability in 2026, positioning us to leverage increased capacity, broaden retail reach, and expand into new high-margin product categories. Beyond our operational progress, in March 2026, we are launching two new SKUs with a national retailer in our branded displays that will also feature 10 more of our top SKUs. Our international distribution partners remain excited with our performance and are substantially expanding influencer marketing and retailer marketing partnerships for 2026 to continue supporting the Sow Good Inc. brand. We also reached an exciting milestone in our retail strategy, securing our first private label partnership with a 100-store national retailer for our new caramel crunch SKU, with shipments beginning in 2026. Caramel crunch will be our first fully vertically integrated product, made with no artificial dyes, flavors, or preservatives, and produced using our proprietary long-cycle freeze-drying process. It features real caramel made in-house from scratch with naturally derived colors and flavors, aligning perfectly with the industry-wide movement toward cleaner, simpler ingredient decks. This innovation not only strengthens our leadership in the clean snacking space but also opens the door to a wider range of retail opportunities as buyers increasingly prioritize clean label confectionery products. It reflects where the market is headed and where Sow Good Inc. excels. At the same time, we are seeing a slowdown in traditional SKUs that mirror the broader category softening, while growth and retailer demand are shifting toward our new innovative SKUs, particularly those featuring proprietary textures, novel flavors, and clean ingredients. This shift reinforces our commitment to continuous innovation and to leading the next generation of freeze-dried snacking. Furthermore, we are engaged in ongoing discussions with several national retailers regarding additional private label opportunities, including potential expansion into freeze-dried yogurt melts and other innovative product formats. While these conversations are still early, they demonstrate the growing interest in Sow Good Inc.'s manufacturing capabilities, innovation expertise, product quality, and vertically integrated platform. As the freeze-dried category continues to mature, Sow Good Inc. remains an innovation leader, combining unmatched product quality with proprietary technology and vertical integration that sets us apart in taste, texture, and efficiency. Finally, to support our working capital needs, we have received commitments for additional capital, with insiders personally committing $1 million. This continued insider support underscores our leadership's confidence in Sow Good Inc.'s strategy, execution, and long-term potential. With that, I will turn it over to Donna to walk through the financials.
Donna Guy: Thank you, Claudia. It is a pleasure to be here with all of you today. Diving into our financial performance for the third quarter, revenue in 2025 was $1.6 million compared to $36 million for the same period in 2024. The decrease is primarily due to lower average selling prices associated with the closeout of discontinued SKUs. Gross loss for 2025 was $8.9 million compared to a gross profit of $600,000 for the same period in 2024. Gross margin was negative 576% in 2025, compared to 16% in the year-ago period. The decline is primarily attributable to approximately $8.5 million in non-cash charges to inventory associated with discontinued SKUs as the company executes its strategy to streamline its product portfolio and focus on its more innovative upcoming offerings. Operating expenses in 2025 were $3.7 million compared to $3.8 million for the same period in 2024. A year-over-year improvement in operating expenses was driven by lower payroll costs and professional fees as we continue to optimize operations. Net loss in 2025 was $10.9 million or negative 90¢ per diluted share compared to a net loss of $3.4 million or negative 33¢ per diluted share for the prior year period. The decrease was largely attributable to lower revenues coupled with non-cash inventory reserve charges, partially offset by a non-cash gain of $1.7 million upon the exit of two leases. Adjusted EBITDA in 2025 was negative $10.9 million compared to negative $1.9 million for the same period in 2024. The decreased adjusted EBITDA is predominantly due to inventory charges previously mentioned, partially offset by increased non-cash compensation. Moving to the balance sheet, we ended the quarter with cash and cash equivalents of $387,300, compared to $3.7 million as of December 31, 2024. We ended the quarter with a stronger and more efficient cost structure. The actions we have taken to streamline operations, lower fixed costs, and optimize payroll are setting the stage for better leverage as demand grows. Our systems are stable, retail momentum is building, and we are seeing encouraging progress in new product categories. As we close out the year, we are focused on driving growth with discipline and maintaining the financial rigor that is now embedded in how we operate. This concludes my prepared remarks. I will now turn the call back to Claudia.
Claudia Goldfarb: Thank you, Donna. Sow Good Inc. is entering the next phase of its growth journey with strong operational discipline and a focused path toward returning to profitability. The foundational work we have completed has made us more efficient, more resilient, and better positioned for sustained profitability. Our focus remains clear and consistent: optimizing our cost structure and conserving cash, expanding retail distribution and private label partnerships, and executing with discipline to deliver long-term growth and a return to profitability. With our facility consolidations and payroll optimization now complete, we are moving into 2026 leaner, focused, and ready to scale profitably. Our private label expansion, beginning with the caramel crunch and the potential addition of yogurt melts, represents a powerful opportunity to diversify revenue while deepening relationships with key national retailers. We also expect the actions we have taken, combined with automation, SKU rationalization, and vertical integration, to drive gradual margin improvement beginning in mid-2026, further supporting our path to profitability. In parallel, we are advancing a number of forward-looking strategic initiatives, including digital asset and partnership strategies designed to strengthen our balance sheet, diversify our funding base, and enhance long-term shareholder value. These initiatives reflect our ongoing commitment to innovation not just in product development, but also in how we think about capital formation, value creation, and financial resilience. We are actively meeting with a range of partners and advisers to explore opportunities that can help unlock new sources of liquidity, improve capital efficiency, and position Sow Good Inc. at the forefront of responsible financial innovation. We are approaching these discussions with discipline, prudence, and a clear focus on shareholder alignment, ensuring that any steps we take are accretive, transparent, and supportive of our long-term strategy. The level of engagement and interest we are seeing reinforces our belief that Sow Good Inc.'s next chapter has the potential to be both transformative and value-driven. As we head into 2026, we do so with optimism and confidence. Sow Good Inc. is leaner, more agile, and more efficient, and better aligned for sustainable growth, supported by exceptional retail partnerships, category-defining innovation, and a culture built on excellence. The work we have done this year positions us to translate operational progress into financial performance, and we are committed to delivering measurable results that drive shareholder value in 2026 and beyond. We appreciate the continued trust and support of our shareholders, partners, and team members, and we look forward to sharing our progress in the months ahead. Operator, we will now open the call for Q&A.
Operator: Thank you, ma'am. As a reminder, to ask a question, please press 1 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. One moment for questions. And our first question comes from Peter Thomas Sidoti with Sidoti and Company. You may proceed.
Peter Thomas Sidoti: Hi, Claudia. Just some quick questions. Please, can you provide any more details on the financial commitments that you have in hand at this point?
Claudia Goldfarb: So it is $1 million, and it is me and Ira.
Peter Thomas Sidoti: I got that. Alright. Yeah. What do you think your current cash burn is on a monthly basis at this point?
Claudia Goldfarb: It is going to decrease pretty significantly after January. Once Rock Quarry comes off. So, you know, this $1 million gives us the runway we need to put into effect the private label. Some of the DAP strategies that we are looking at, so we feel comfortable that this will get us through, you know, the short term.
Peter Thomas Sidoti: Okay. And is this $1 million coming in as equity debt? Or it is not formal yet at this point?
Claudia Goldfarb: It is not formal yet at this point. It should be within the next week. Alright. Good luck. And thank you.
Eric Des Lauriers: So on revenue, when do you think you need to do revenue to break even at this point? Or after January?
Claudia Goldfarb: That is a really good question. A lot of it is going to depend on the yield and throughput for the caramel crunch SKU. And so, you know, I think that we are going to have much more visibility as to what our breakeven point is going to be, you know, probably starting March or April. Okay. But right now, you know, we are getting our cost down significantly to where we are probably going to be at about a $4.50 to $5.50 range on a monthly expense.
Eric Des Lauriers: That is great. And the caramel coat crunch business, are the economics very similar to your other products, or is it higher volume growth?
Claudia Goldfarb: Very similar. So the advantage to the caramel crunch, and I think that in the later half of the year, we will start seeing improved margins on the caramel crunch as we just start fine-tuning the manufacturing process. Because it is super exciting. We are making it from scratch. And so, you know, we just expect to see some raw material savings in that and just really good margins once we get fully operational.
Eric Des Lauriers: Okay. And one last question, though. Get off the phone. I know you have expanded your sales effort quite a bit. Can you talk about how effective that has been and how happy you are with the results so far?
Claudia Goldfarb: Sorry. I missed the first part of that piece. You have expanded your sales effort.
Eric Des Lauriers: The sales team there.
Claudia Goldfarb: Yes. You know, I think that they have done a great job in a very trying time. Right. You know? And I think that we are seeing that in, you know, the private label space. Landing this customer was definitely a big deal, and it is going to be a significant achievement, you know, for next year. ACE, Orgill, you know, expanding to non-retail environments. I think it just really speaks to their dedication and determination to find, you know, great retail partners for us. So Right. We I am very happy with the work they have done. You know, we are looking at private label yogurt melts and other opportunities in adjacent categories. And so they are grinding it out. And so you know.
Eric Des Lauriers: Okay. It sounds like everybody is grinding it out. So well, I appreciate it. Thank you very much, Claudia.
Claudia Goldfarb: Thanks, Peter.
Operator: Thank you. And as a reminder, to ask a question, please press 11 on your telephone. One moment for questions. And at this time, this concludes our question and session. I would now like to turn the call back over to Claudia for any closing remarks.
Claudia Goldfarb: Thank you, everyone, for your continued support. We are entering 2026 leaner, more efficient, and well-positioned for sustainable growth that we really believe will set the stage for a return to profitability next year. We remain disciplined and energized and committed and want to thank you again for joining us, and we really look forward to updating you on our progress in the quarters ahead.
Eric Des Lauriers: Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.